Operator: Welcome to Group ADP 2025 Full Year Results Presentation. [Operator Instructions] Now, I will hand the conference over to Cecile Combeau, Head of Investor Relations, to begin today's conference. Please go ahead.
Cecile Combeau: Thank you, and good morning, everyone. Thank you for joining us for our 2025 full year results presentation. I am here with Philippe Pascal, our Chairman and CEO; and Christelle de Robillard, Executive VP for Finance, Strategy and Development, who will first go through prepared remarks for about 20 minutes before the Q&A session, for which we will aim for 40-minute duration. Before we start, and as usual, I remind you that certain information to be discussed today during this call is forward-looking and is subject to risks and uncertainties that could cause actual revenue and results to differ materially. For these, I refer you to the disclaimer statement included in our press release and on Slide 46 of our presentation. I will now leave the floor to our Chairman and CEO, Philippe Pascal.
Philippe Pascal: Thank you, Cecile, and good morning, ladies and gentlemen. Thank you for joining us to discuss our 2025 full year results. Let me first turn to Slide 3 for our key highlights. 2025 has been a strong year for the group and a key step in preparing our next strategic cycle. When I took office as Chairman and CEO a year ago, I set clear priorities: reinforcing our economic model in Paris through an economic regulation contract; deliver the best possible quality of service and accelerate the rollout of the Extime model; secure the contribution of our international activities; and support all this with more agile and engaged corporate culture. With the new management team, we made solid progress on each of these priorities. We launched a very successful employee shareholder plan and modernized our compensation structure at ADP SA level. We improved quality of service day after day, started the Connect France partnership with Air France in June, and announced the renaming of Paris-Charles de Gaulle's infrastructure by 2027. We delivered key projects, our international assets and resumed dividend payment from TAV. And of course, we submitted our proposal for 8 years' Economic Regulation Agreement, now awaiting the regulator's first opinion. These achievements are combined with a strong operating performance in 2025 with all of our financial targets met, allowing the Board to propose a dividend of EUR 3 per share to the next general meeting after our dividend policy. About our financial performance on Slide 4. Revenue reached EUR 6.7 billion, up nearly 9%. This reflects strong [ project ] traffic during the year and the continued development of our service businesses, included the scope effect from the acquisition of P/S and Paris Experience Group at the end of 2024. EBITDA also showed solid growth, up 12%. This performance comes from higher revenue and from disciplined cost execution, leading to further margin expansion. Finally, net result came at EUR 382 million. It was affected by FX noncash item and tax impact in 2025, but remains 12% compared with 2024. Let me now move to Slide 5 about our employee-related achievements, which are a key driver of long-term value creation. Our employee shareholding operation was a clear success with 3 out of 4 employees subscribing. Employee ownership now represents almost 2% of the company's capital, showing strong internal alignment and confidence in the group's trajectory. It also creates collective incentive by sharing future value creation. Just a few weeks ago, we also reached an agreement with trade unions to modernize our compensation framework and employee status. The goal is to build a more consistent, financially sustainable and performance-driven model. The impact of this reform is already reflected in our 2026 outlook. This measure will support our long-term cost trajectory, the same that was underlying our cost discipline, Economic Regulation Agreement proposal. A quick word now on Slide 6 about the simplification and renaming plan for Paris-Charles de Gaulle Airport announced at the end of 2025. Our objective is simple: make the passenger journey clearer and smoother, especially for connecting travelers. In March 2027, when the CDG Express high-speed link opens, all terminals will adapt a single numbering system, and boarding area will be renamed using specific letters. This will bring Paris back in line with the best standards of major international hubs. This renaming is a visible step, but it is only one of the main projects we will continue to roll out to reinforce the attractiveness of Paris hub and other initiatives such as the ones included in our Connect France partnership with Air France. On Slide 7 now, still on the performance of our Paris assets, we continue to support it with several infrastructure projects delivered in 2025. First, the refurbishment of Runway 1 at Paris-Charles de Gaulle, which now meets best-in-class industry standards. Second, the commissioning of our geothermal plant for Paris-Charles de Gaulle Airport, a key milestone in our decarbonization road map. Third, the restructuring and extension of airside area at Paris-Orly, unlocking additional aircraft capacity and improving operational fluidity. And finally, the upgrade of baggage handling system in [ Terminal 2E ] and 2C at Charles de Gaulle, enhancing reliability. This project illustrates our ongoing efforts to maintain the high-performing and reliant Paris hub. Finally, let me turn to Slide 8 and highlight the key achievements in our international assets. We delivered several major infrastructure projects in 2025, including the expansion of Antalya Airport in Turkey and the expansion of Delhi Airport in India. Both platforms are now ready to support further traffic growth and to capture more retail potential, thanks to new commercial areas. Both Antalya and GMR Airport secured refinancing operation. At the same time, TAV Airports successfully negotiated a 5-year concession extension for Tbilisi airport, which is a highly contributive asset. And on the back of solid performance and deleveraging, TAV announced it will resume dividend payments this year, TRY 3.61 per share, or roughly EUR 10 million for ADP SA, to be paid in 2026. Overall, 2025 has been a year of strong execution and reinforced our foundation for the next strategic cycle. I will now hand over to Christelle, who will take you through the 2025 financial performance in detail.
Christelle Robillard: Thank you, Philippe, and good morning, everyone. Let's jump to Slide 10 and dive into our 2025 results. In 2025, we delivered continued solid traffic growth overall with different trends across our platforms. In Paris, traffic grew by 3.4%, fully in line with our annual assumption. Growth was driven by international passengers, while domestic traffic continued to decline. Looking at the group, TAV Airports delivered a solid 6% traffic increase, supported by its international assets. GMR Airports showed 3% growth, reflecting a resilient underlying profile despite some challenges during the year. AIG, specifically Amman Airport, recorded 11% growth even in a tense geographical context. Overall, these trends confirm the strength of our portfolio and the resilience of our geographically diversified model. Now, turning to retail trends on Slide 11. Extime standard packs stand at EUR 31.7 in 2025, up 3.6% compared to 2023, but down 1.2% compared to 2024. After an outstanding first quarter, we saw a downturn in Q2, driven by several factors. First, a number of ADP-specific elements, which were largely anticipated: works in Terminal 2EK, the full year impact of the reopening of Terminal 2AC and the reallocation of some airlines there, but also a negative comparison base compared to 2024 due to lower advertising and the end of Olympic merchandise sales. In addition to these internal factors, broader external trends also weighed on performance. First, the slowdown in the luxury sector, but also significantly less attractive FX conditions since Q2 with stronger euro, while pricing strategy from luxury brands do not compensate for this effect. Despite these headwinds, we remain confident in the strength of Extime model. Underlying trends in most activities continue to support our long-term strategy. Moving to Slide 12 about consolidated revenues. As said earlier, it reached EUR 6.7 billion, up 9% this year, reflecting a solid momentum across all our main segments. In Aviation, the revenue increase was primarily driven by the continued growth in international flows, as well as the 4.5% airport fees increase implemented in 2025. In Retail and Services, despite the headwinds I just explained, contribution to revenue growth was strong, benefiting from the international traffic growth and positive scope effect from recent acquisitions, which serve the development of our model. Abroad, TAV Airports' international assets and services companies were the biggest driver, while growth in Turkey was more moderate due to macroeconomics. AIG showed a remarkable rebound, showing resilience despite the geopolitical context. Moving to Slide 13 to focus on our EBITDA. For 2025, EBITDA is up more than 12%, driven by revenue growth and good cost control. Excluding the integration of P/S and PEG, EBITDA is up 11.3%, above our EBITDA guidance of at least 7%. This strong performance reflects several factors: tight cost discipline in itself at ADP SA and retail subsidiaries, as well as at TAV. Parisian infrastructure is now fully open, which provides some operational leverage. We also benefited from positive base effects linked to Olympics-related expenses, which disappeared in 2025, and also the postponement of Exit/Entry System deployment to late 2025 and with a progressive rollout. 2026 OpEx are expected to increase due to this EES deployment. Slide 14 now to look at our net income standing at EUR 382 million, up EUR 40 million. This figure reflects strong EBITDA growth, as well as the base effect from the 2024 accounting impact linked to the GIL and GAL merger. However, they are largely offset by other effects worth reminding: in D&A, the negative base effect from last year impairment reversal at AIG; in taxes, the exceptional tax surplus on large corporations in France for EUR 92 million; and as was the case in H1, all through the P&L, we recorded impact from the abnormal variations in FX rates in 2025, affecting notably the contribution of TAV and GMR Airports for a total net loss of EUR 130 million at the net income level. Overall, this all resulted in a net income attributable to the group of EUR 382 million. The cash position of the group is nevertheless solid, as apart from the tax impact, these negative impacts are mainly noncash ones. So turning to the group debt on Slide 15. You can see net debt stood at EUR 8.6 billion at the end of 2025. Net debt-to-EBITDA ratio is improving to 3.7x EBITDA, in line with our 2025 target of 3.5x to 4x EBITDA. This deleveraging has been driven by the strong EBITDA growth, as well as the disciplined CapEx execution, both in Paris and at group level. Moving to Slide 16 to conclude this financial part, I will focus on the regulated activities. As you can see on the left part, regulated ROCE for 2025 stands at 4.3%, up 0.3 points compared to 2024. The strong growth from traffic and increase in airport charges was notably offset by the higher tax rate applicable in France for 2025. Let's look now at the right side of the slide, which summarizes the situation regarding 2026 tariffs. Our initial proposal, which included a 1.5% increase, was rejected in December, mainly due to divergencies on analytical accounting rules used to allocate costs and assets to the regulated perimeter. We then submitted a second proposal with flat tariffs on average. This proposal was also rejected on February 10, which means that airport charges will remain at 2025 levels from April 1, 2026. This is already reflected in our 2026 financial guidance, which Philippe will comment in just a moment. Now, importantly, the regulator explicitly stated in their decision that the ERA is the right framework to address structural topics such as allocation keys and that our envisaged timing remains valid. Our priority is to work through the regulatory process constructively, while protecting the interest of the company and its shareholders. With that, I will now hand it back to Philippe, who will now comment on our outlook and our strategic priorities.
Philippe Pascal: Thank you, Christelle. Let's now turn to the financial outlook for 2026. Our 2026 guidance is built with discipline with 3 factors explaining the calibrated EBITDA outlook: flat regulated tariff in Paris; higher-than-usual staff cost increase linked to the reform in wage structure at ADP SA level; retail revenue dynamic in a still challenging context and continuing works in Terminal 2E Hall K. All in all, we expect EBITDA growth to be driven by international assets, TAV in particular, to reach above EUR 2.35 billion EBITDA at group level. We will continue to invest to prepare the future around EUR 1.45 billion at group level, on which, around EUR 1 billion at ADP SA with a gradual increase compared to actual 2025 CapEx, in line with the program set out in our proposed Economic Regulation Agreement. Our dividend policy remains unchanged, 60% payout with a floor of EUR 3 per share. Our proposal for Economic Regulation Agreement for '27-'34 will be negotiated over the course of 2026. Slide 20 shows the key parameters of our proposal, which are designed to secure a fair remuneration of the investments included in our plan. Slide 20 shows the timeline for the elaboration of this new Economic Regulation Agreement. And I want to highlight that despite the non-validation of the 2026 tariff, the process is fully on track. We are fully committed to deliver a good agreement, ensuring fair remuneration of investment. We have the support of airlines. We can see on the slide that we started the year with a positive constructive vote from airlines, both on the duration and on the industrial plans, which confirm the quality of our proposal and their support. We also have the support of the French State, which asked the regulator to issue a nonbinding opinion on our proposal, which is then expected by April 11. We anticipate that the regulator will make some negative comments on allocation key because the analytical accounting keys underlying our proposal are similar to those used for the 2026 projected tariff. We work through the process constructively, and the Economic Regulation Agreement is an appropriate framework to address such structural topic. And during the rest of 2026, we will continue negotiation with the State and hold the second round of user consultation in September. The objective remains unchanged: to obtain the binding approval of the ART in Q4 2026, followed by the signature of the Economic Regulation Agreement so that it comes into force on January 1, 2027. Overall, the timeline is progressing as planned with no deviation versus the schedule we shared in December. Moving to Slide 21, which illustrates how 2026 will be a year dedicated to preparing our next strategic plan for '27 -- 2027 and 2030. We will focus on 4 main pillars. First, economic regulation elaboration. With the negotiation of the new Economic Regulation Agreement, its signature will bring clarity and long-term [ visible ] on the financial trajectory of our regulated activities. Second, cultural transformation, continuing to build a more agile and performance-driven organization, while strengthening the employee engagement. Third, corporate social responsibility, ensuring our road map stays aligned with long-term environmental and climate ambition and accelerating our commitments. And fourth, the portfolio review, focusing on nonregulated activities to refine our strategic priority and management focus and to optimize our portfolio for long-term value creation. Together, these 4 pillars will shape the foundation of the group's next strategy ambition. With that, let's open the line for Q&A. Thank you.
Operator: [Operator Instructions] The next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: The first one on this allocation of cost between regulated and nonregulated. [ ART ] concluded that there's a differential of 50 to 100 basis points on your returns due to the different views on cost allocation. Could you give us a bit more details? What are the arguments on your side that you believe the way you approach cost allocation is the correct one? Do you see reasonable chances to convince them to drop this claim going forward? And secondly, considering a more conservative view from ART in terms of your actual regulated returns, at least from my side, it seems that CapEx and a multiyear regulatory framework are the only things that could avoid cutting your tariffs in 2027. So in this sense, what is the minimum level of WACC that you're willing to accept in order to deploy this CapEx plan that you presented for ERA going forward?
Philippe Pascal: So thank you for your question. So perhaps just to have a view about the debate with the regulator, there are 2 main areas of misalignment in the view of the regulators, the WACC and the allocation key, as you say. Perhaps to start on the regulated WACC, main takeaway from last week's decision is that the regulator clearly stated that the WACC will be higher in case of multiyear agreements. And we will have more insight when this -- issue their nonbinding opinion of the economic regulation proposal, which is expected in -- by April. So it's not possible to give you a minimum of WACC. The key element is to have a global balance and a fair remuneration at the end of the day for our Economic Regulation Agreement, but also if we don't have an Economic Regulation Agreement. We are very confident that Economic Regulation Agreement, it's a good vehicle to find a very fair remuneration for us due to the fact that the head of ART said clearly that we can discuss about that through this process, and the fact that in the methodology of the French regulator, we can have a higher WACC when we have a multiyear agreement. So, in line with this element, we are convinced that in the process, we can find a good balance. On allocation keys, in fact, the regulator estimates that we should implement analytical accounting correction that could increase the ROCE, the regulated ROCE by around 0.5 to 1 point. Among the pushbacks from the regulator on allocation keys, the most material are the space allocation key to allocate costs between scope regulated to share space in our terminals, in the boarding area, near the shops and so on. The key related to access to allocate the cost related to our airport shuttle system -- airport shuttle is a key element also -- we will resume discussion with airline and work through the regulatory process constructively, while protecting the interest of the company and its shareholders. That is very important for us and very clear. It's the fact that the French State, the decision of the government is to have a dual-till system with a regulated scope and a nonregulated scope. So we can obviously discuss about the cost allocation key if we respect this dual-till system. So we have -- obviously, we have to find the good rules and the good [ team ]. We have to work with the airlines. We have to work with the French regulator, and this work is on track with both airlines and the regulator. But at the end of the day, you have to respect the dual-till system. And I know that for the French State, it's vital because it's at the end of the French State, not at the end of the regulators. So globally, to answer your question, in fact, we have this key question of WACC and of allocation key, but we are very confident that the Economic Regulation Agreement and the process to elaborate this agreement, it's a good process to success, and we are confident to do that. It's the reason why we are not so worried about the decision of 2026 tariff.
Operator: The next question comes from Tobias Fromme from Bernstein.
Tobias Fromme: I'm trying to understand your traffic growth guidance in a little bit more detail. On Slide 7, you elaborate on the 2026 investment projects. What's the estimated impact of those projects on traffic growth, especially looking at sort of the runway renovation at CDG and capacity extension at Orly. If you will sort of not have to implement those projects, would the sort of guidance be very similar? Like, can you effectively shift the impact a little bit by having more aircraft flying into CDG, for instance? And then, on retail, when I look specifically at the different quarters, the performance of the businesses in the different quarters, I see that duty free has obviously gotten a lot worse over the quarters, about 8% Q1, Q2, flat in Q3, and then minus 2% in Q4. Is that the trajectory we should keep in mind for 2026 as well? And have you maybe seen anything on duty free in the first 2 months -- first 1.5 months of 2026? And that's it.
Christelle Robillard: Thank you for your question. So regarding the first one in terms of traffic, so as you've seen, we've posted a guidance of traffic expected growth between 1.5% to 2.5% in Paris, mostly driven by international. Just to remind you that it's totally in line with the assumption taken in the Economic Regulation Agreement, and there have been no change since then. So globally, we expect in 2026 to see similar trends as in 2025, continued dynamic growth of international traffic with Middle East and Asia notably, as other destinations have already more than recovered, but also a steady and lower growth for the Schengen area traffic, where traffic is now [ mature ] and above 2019 levels, and finally, French domestic traffic to remain structurally lower. Regarding your specific question between CDG and Orly, indeed, the traffic in 2026 will be affected by temporary airside works at Orly that will constrain operations from April to December 2026. There will be, to be very precise, 2 work phases impact operation: April to early August, works on some taxiway; and from mid-August to early December, works on the runway itself. Some airlines can have chosen to proactively adjust their programs, reducing flights, transferring some activity to CDG and to reshape schedule. Some indeed chose to frontload reduction early in the season to smooth operational adjustments. But crucially, what you have to have in mind is that airlines will keep their early slots. And so, these cuts are just tactical, not structural. And all these elements of traffic in Orly are fully embedded in our 2026 traffic assumption. Regarding your second question in terms of retail performance, so indeed, the performance was quite different quarter-by-quarter. There was more an outstanding performance in Q1, and then a gradual decrease. Clearly, that began when the euro appreciated a lot. So, as you understand, our performance has been impacted by all those FX tailwinds. Regarding 2026, our assumption is broadly a stable FX rate with no reversal of the 2025 currency impact. There was also this trend regarding the slowdown on luxury categories, which have also affected once again due to this sensitive FX competitiveness. So this is something on which we will pay attention for sure. But our assumption takes into account, as I said, a broadly stable FX. You saw that we posted a hypothesis above EUR 32 in 2026. We have some levers to drive this [indiscernible] in 2026 and the [indiscernible] strength, the traffic mix improvement, so all this should contribute to stabilize our retail performance.
Operator: [Operator Instructions] The next question comes from Dario Maglione from BNP Paribas.
Dario Maglione: Two questions around the long-term regulatory agreement. I'm quite intrigued. You mentioned that you have support by the airlines for this agreement. Can you elaborate? And then, second question on this OpEx allocation and projection on regulated revenue. To what extent you're trying to find a compromise with ART or actually try to bring on board what ART said and just implement it?
Philippe Pascal: Thank you for your first question about the support of airlines. In the formal process of the negotiation of an Economic Regulation Agreement, the starting point is the publication of the proposal in December. And the first step is a dedicated vote in a specific committee that we -- all the main airlines and representative organizations of airlines. So we executed this first step at the end of January in 2 elements. The first element, it's a specific for duration, and we obtained the full support of the main part of the airlines. And the second vote, it's about the proposal. That is clear. It's the fact that we have a favorable vote, positive vote due to the fact that all the airlines, and in particular, the main airlines in Paris support the industrial plan, the fact that we can develop and we have to develop the platform in Paris-Orly, but mainly in Paris-Charles de Gaulle. We have to develop the hub of SkyTeam. And we manage well this process because it's the industrial process. It's the result of a strong discussion with airlines and also the consultation of our main stakeholders during the consultation in 2025. So our proposal, it's a result of the first informal consultation and negotiation with the airlines. So -- but the good success is the fact that officially, when you consult the airlines, all the airlines adopt this project with a favorable vote. It's a good thing to try to convince the French regulator that it's a good Economic Regulation Agreement and well balanced. That is -- for your second question about the allocation keys, the ART requested an analytical accounting adjustment, but we have just said, it's to increase the [indiscernible]. The main pushback related to space allocation key, as I say, it's the number of square meter in the regulated and in the nonregulated scope, and also the key related to access. These topics require structural formalized work with airline, which are resuming immediately. So we work a lot, and the ERA is precisely the appropriate framework to solve this technical point. We have -- with the French regulator, we have a discussion, regular discussion, technical discussion, professional discussion. The regulator demonstrates a good understanding of airport infrastructure constraints. But we do not prejudge decision, but the tone is forward-looking. And ART confirmed that the ERA is the right avenue to [ track ] long-term topics. So, for the moment, we have a positive discussion. In fact, we are a little bit surprised about the decision of -- in December that is not in line with all the work that we executed with airlines and also with the regulators. So, a little bit surprised, but it's not the same tone before than after the decision, perhaps due to some claims about some airlines. But all in all, we have to continue the discussion and remind that the question of cost allocation key, it's also the question of the dual-till system. So it's not just the regulator, but it's also the French State. And we are very confident about that because our industrial project is vital for the development of the airport sector in France. So it's -- we have the full support of the French State.
Operator: The next question comes from Jose Arroyas from Santander.
José Arroyas: I wanted to ask you about your plans to review the company's portfolio. I think this is also something you talked about in December. But what do you exactly mean by a strategic review of nonregulated assets? Are you looking to sell some of the assets you already own partially or fully? Or are you looking to buy more of the assets you own? And if it is the latter, what type of businesses would you be considering adding?
Christelle Robillard: Thank you for your question. So indeed, we announced in mid-December last time that we were going to conduct a portfolio review. So this is, of course, still our expectation. So the 2026 portfolio review will cover all nonregulated activities with the aim of clarifying long-term value drivers and the strategic role of each asset. We assess indeed every asset based on long-term value creation, strategic relevance and capital efficiency. At the end of the day, this review is not designed to trigger a major disposal. Having said that, we apply a clear discipline to cost allocation. We consider both disposal or acquisition only when they reinforce our long-term industrial and financial profile. So this is the way we will conduct this work. Thank you.
Operator: The next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: Could I kindly ask on the OpEx side? You talked about the new compensation structure reform. Could you give a bit more detail on the actual wage increases in '26 and then the long-term savings associated with this new compensation structure? And maybe on this topic, could you talk, for ADP SA, the other OpEx components, what type of inflationary pressure would you expect in '26 versus '25? And the second one, if I may, coming back to the allowed return, I think ART proposed a 5.3%, 5.4% WACC for Toulouse and Marseille airports. And I know these are different assets with different considerations. But I'm just trying to take a step back if, at the end of the day, ART believes today, you're earning somewhere between 4.5% to 5.5% regulated return, you're not too far away from this 5.3%, 5.4% WACC. So what I'm trying to think conceptually, in my eyes, from here to grow your tariff, effectively, it's all underpinned by your regulated asset base growth or by your CapEx because if the WACC indeed ends up being 5.3%, there doesn't seem to be a lot of tariff increase. So could you help us a bit -- am I missing something? Are you still confident in a healthy tariff increase above the inflation levels in France over the next years? And what are the arguments in that regard?
Christelle Robillard: So I'll comment on your first question regarding the staff cost reform. So, as you have understood during the presentation, this is a comprehensive renovation of ADP SA remuneration structure for both nonexecutive and executive, aimed at making salary progression more predictable, more individualized and structurally more sustainable. As mentioned, this reform will generate a significant impact in 2026 as we implement salary increases to compensate for the withdrawal of certain future benefits, especially the automaticity of salary increases. This will create a onetime larger step-up compared to our usual staff cost trajectory. In practical terms, the 2026 wage increase will be roughly twice the normal annual run rate. But clearly, all this impact is fully included in our 2026 guidance for recurring EBITDA above EUR 2.350 billion. Clearly, this will -- the aim of this reform is to rebalance the compensation structure and to make it more sustainable over the long-term period. So it will also help secure the assumption we took in the Economic Regulation Agreement of wage inflation at CPI plus 0.6 points. Regarding other OpEx evolution assumptions, so on your question about the inflation, we are expecting some classical inflation hypothesis, so between -- I would say, close to 1.5%. So, no specific element on that. Maybe just keep in mind that our OpEx base will be impacted, but like usual -- as usual, on consumable, by the trends with our level of activity and sales; on external services, as I mentioned in my presentation, by the deployment of Exit/Entry System, which was postponed in 2025; and on staff expenses, by this wage reform. And maybe just worth to say that, as you saw also, there was no significant move on the tax front.
Philippe Pascal: So about the WACC, so what is clear for us is the fact that it's not possible to sign an Economic Regulation Agreement if we don't have a fair remuneration. The fair remuneration, we have 2 aspects of the fair remuneration. It's a level of WACC, but it's also the fact that we have to assume a pure convergence between the regulated ROCE and the regulated WACC. So about the regulated WACC, in fact, we can compare the situation of ADP with the situation of a regional airport. It's, as you say, not really the same airport, the same risk. That is a key element. the specificity of ADP, the fact that we propose an Economic Regulation Agreement for 8 years with EUR 8 billion. When you compare with Toulouse, it's not comparable because we have just a CapEx plan for EUR 130 million for 5 years, and we propose in ADP EUR 8 billion for 8 years. So globally, in terms of risk, we have a higher risk in ADP compared to the regional airport. And we are very optimistic for this real environmental economic view and the fact that, in the methodology of the French regulator, we have in line -- the fact that we have to assume a part of risk. We are globally confident at the methodology of the regulator that is -- it seems the level of regulated WACC is higher in case of this multiyear agreement, higher so probably in the high part of the range, perhaps a little bit higher. We have to assume that. So, in terms of CapEx program, for me, the question of the level of CapEx, it's not in line with the level of WACC. We have to -- we need a fair remuneration for a low CapEx program or high CapEx program. It's the same thing. So in fact, if we don't have an Economic Regulation Agreement, mechanically, we -- it's not possible to deliver an industrial project as we plan. But we are globally confident due to the fact that it's vital to launch this plan and to compete with our main competitors like Istanbul, [indiscernible] and so on.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments. The next question comes from Nicolas Mora from Morgan Stanley.
Nicolas Mora: Just wanted to come back on the cost allocation and just the support of airlines. Obviously, they are on board on the industrial plan. I don't think anybody questions that. From the ART documents, they're not really on board on the cost allocation. I mean, they're talking about north of EUR 200 million of cost they would like to be put into the unregulated perimeter. They would like a cut in RAB. So is there for you a point where you just walk away because you just can't -- just basically can't [indiscernible] a 3-digit number of costs being switched into the unregulated perimeter? That's the first question. Then on -- if we can come back on the results and just on the retail, just in '25, can you explain a bit why the operating leverage is so good? I mean, the step-up in EBITDA is quite impressive versus the revenue rise. Just wanted to know if there were any special elements there or what you're doing to actually squeeze a little bit more from the revenue? And thinking about retail in '26, just a confirmation. So we're going to start the year with tough comps, still some FX headwinds, still some construction headwind. So the year is pretty dramatically back-end loaded in terms of improvement in performance and spend per pax. And last one, sorry, on '26 guidance. Can you help us understand what you've put for TAV in your EUR 2.350 billion EBITDA kind of minimum guidance? Are you at the midpoint? Are you at the low point, the high point? Because TAV range is quite wide. Just trying to understand what you've got in there for TAV and imply what you've got for Paris Airport.
Philippe Pascal: So thank you, Nicolas. So about your first question and the fact that we have to discuss with the airlines about the cost allocation key, in fact, we have the support of the airlines to execute the industrial project but also to execute this project through an Economic Regulation Agreement. It's support in principle, but we have to discuss about the details. We have to discuss about the global economic balance. So it includes the cost allocation key. It includes also the level of WACC. It includes the level of CapEx, of OpEx and so on. So -- but in principle, it's a result of first discussion that is appreciated from the airlines. In terms of cost allocation key, we discuss a lot with the airlines. We execute all the guidelines of the French regulator. And it's quite a surprise for us to have a negative decision of the French regulator due to the we take account for all the elements that the French regulator wants to study. So, after that, in terms of cost allocation key, as I say, it's a global balance with all the other factors, first. And the second point, specifically for the allocation key, the question is perhaps to discuss about the key in terms of square meter for the regulated scope or not. But it's also the fact that we have some red line, and the red line is to assume the fact that the decision of the French State is the dual-till system of ADP. So, that is the red line, and it's red line for ADP, but it's mainly a red line for the French State. For the other question, Christelle?
Christelle Robillard: Yes. So regarding your second question in terms of retail performance, so indeed, Retail and Services outperformed despite the SPP headwinds we just mentioned in our presentation. So this solid growth was attributable to 2 main elements. First, a solid cost discipline. This was the case at all the group level, as you can see, because we outperformed on every segment, but this was particularly the case on the retail segment. We also had a cautious stock management and purchasing policy. So this is the first reason. And the second reason is the Extime model, which clearly continues to drive higher-margin categories such as beauty. Maybe just to mention one figure, interesting figure, on Beauty, we made a plus 6% performance compared to a minus 2.6% on the national market. So it shows the robustness of our strategy and model. So this performance is partly structural, as you can understand. Extime has clearly raised the operational and commercial productivity of our retail ecosystem despite the FX and luxury cycle headwinds that remain in the near term. More generally, once again, when you look at our 2025 financial performance, we were well above our guided at least plus 7% EBITDA, but with strong double-digit increase all across our segments, both in aviation, retail and international. Maybe concerning your third question, the assumption we are taking in our EBITDA guidance for TAV, so the guidance we take at the group level above EUR 2.350 billion is totally in line with the EBITDA guidance disclosed by TAV, which is guiding for EUR 590 million -- for a range between, sorry, EUR 590 million and EUR 650 million EBITDA in 2026. That means EUR 30 million to EUR 90 million EBITDA growth. So this is the underlying assumption for TAV. And bear in mind that the rest of the performance of the group will be impacted by flat regulated tariff in Paris, by the higher-than-usual staff cost increase that I mentioned previously, and this retail revenue dynamics in a still challenging context and the continuing works in Terminal 2E Hall K. Thank you.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Cecile Combeau: Yes. No more questions this time indeed. And so, it's time to close today's call. Thank you, everyone, for having logged into this conference. The next planned quarterly publication will be on April 28 with the 2026 first quarter [ review ]. And in the meantime, of course, feel free to get in touch with Eliott or myself in the Investor Relations team for any follow-up questions. Enjoy the rest of the day. Thank you.
Operator: Thank you for your participation. You may now disconnect.